Operator: Good day, ladies and gentlemen. Thank you for standing by. And welcome to the Jiayin Group's Second Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. I will now turn the call over to Mr. Shawn Zhang from Investor Relations of Jiayin Group. Please proceed.
Shawn Zhang: Good day, everyone. Thank you all for joining us on today's conference call to discuss Jiayin Group's financial results for the second quarter of 2022. We released the results earlier today. The press release is available on the company's website, as well as from Newswire services. On the call with me today are Mr. Yan Dinggui, Chief Executive Officer; Mr. Fan Chun Lin, Chief Financial Officer; and Ms. Xu Yifang, Chief Risk Officer. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Also, please note that unless otherwise stated, all figures mentioned during the conference call are in Chinese renminbi. With that, let me now turn the call over to our CEO, Mr. Yan Dinggui. Mr. Yan will deliver his remarks in Chinese, and I will follow up with corresponding English translations. Please go ahead, Mr. Yan.
Yan Dinggui: [Foreign Language] Hello, everyone. Thank you for joining our second quarter 2022 earnings conference call. [Foreign Language] In the second quarter, we delivered excellent financial and operational results, despite a global and fragile economic environment. Notably, our loan origination volume grew by 138.4% year-over-year, while our net revenues increased by 64.9% year-over-year in the quarter. We committed to refining our operational efficiency. As such, on a year-over-year basis, our income from operations and net income grew by 130.3% and [100.2%] [ph] respectively. [Foreign Language] Such strong performance was able to be made on the foundation of our network of partner financial institutions, technology innovation commitment, asset quality optimizations, and risk management capabilities. [Foreign Language] During the quarter, we actively expanded our partnerships with licensed financial institutions. In addition, we further diversified our funding sources and refined our partnership models and portfolio structures. As of June 30, 2022, we have forged partnerships with 46 financial institutions and we are currently in discussion with another 45. Notably, national financial institutions in our partnership network contributed to over 70% of our total loan origination volume in the second quarter. Moreover, we continue to implement our new collaboration model to further empower financial institutions through technology. Currently, we have enabled three financial institutions to leverage our integrated platform and intelligent solutions to accelerate their business digitization under the new partnership model. We are also in active discussion with another six institutions to expand our partnership network. [Foreign Language] As we have emphasized before, technology innovation has always been at the core of our operations. To date, we have launched nine major intelligent platforms that we develop in-house covering [phone management] [ph], risk management, intelligent marketing, customer services, and other operation process. These intelligent platforms have driven our digitization capabilities to a new milestone [as they] [ph] not only improved our internal business efficiency, but also empowered our partner institutions. [Foreign Language] On the borrower front, our focus remains on enhancing the credit risk profiles of our borrowers to optimize the structure of our borrower base as we continue to expand. Meanwhile, the number of borrowings we facilitated in the second quarter increased by 59.5% year-over-year. The average borrowing amount per borrowing increased by 49.4% year-over-year, while our repeat borrowing rate maintained above 67%. [Foreign Language] Our utilization of cutting edge digital technologies we developed such as AI and big data processing, also enabled us to augment our risk management process during the quarter. Our 61 to 90-day delinquency rates reduced to 0.44% from 0.53% at the end of March. Such improvements further demonstrated the effectiveness and efficiency of our risk management system, especially against the [backdrop] [ph] of increasing volatilities in the current macroeconomic environment. [Foreign Language] Moving on to our global expansion. In Mexico, we made steady progress in operating our business model and establishing partnerships with local licensed financial institutions. Meanwhile, in Nigeria, we are actively optimizing our margin profiles as we move forward with our market penetration strategies for the region. [Foreign Language] Finally, I want to mention our efforts incorporate social responsibility. Recently, in August, we released our first ESG report, which outlined a [framework] [ph] for us to ensure compliance, pursue technology innovation, promote inclusive development and create value to our borrowers, funding partners, employees, shareholders and society. [Foreign Language] As part of this ongoing effort, we continue to increase our efforts in supporting small and micro businesses during the quarter. The repeated COVID resurgence have had a negative impact on small business owners this quarter. In order to help small business ease the financial pressure and recover from these economic downturns, our services for small and micro business owners have been extended nationwide. [Foreign Language] As of June 30, our specialized loan program has served approximately [247.7000] [ph] small business owners in 31 provinces and 268 cities across China. Looking ahead, we will continue to lead the charge towards greater financial inclusion to provide more accessible, affordable, and inclusive [pretax services] [ph] for small businesses. [Foreign Language] To conclude, despite the increasingly challenging global economy. Our competitive strength in our highly automated platforms leading risk management capabilities, diverse funding sources, and global business expansions positioned us well to establish our competitive advantages. Going forward, we are confident that our ongoing investments in technology innovation and operational refinement will continue to pay off and empower us to sustain our growth in a fast paced and volatile macro environment. With that, I will now turn the call over to our CFO, Mr. Fan Chun Lin. Please go ahead, sir. 
Fan Chun Lin: Thank you, Mr. Yan, and thanks everyone for joining our call today. I will now review our financial highlights for the quarter. Please note that unless stated otherwise, all numbers quoted are in RMB and the potential changes refer to year over year comparisons. As Mr. Yan mentioned earlier, we once again delivered outstanding financial results in the second quarter, highlighted by robust revenue growth. Net revenue was 811.6 million, up 64.9%. Revenue growth was primarily driven by the significant growth in loan origination volume, which increased 138.4% to 13.5 billion. Other revenue increased to 69 million, driven by the increase in revenues from individual investor referral services. The increase was partially offset by ongoing restructuring of the company's overseas business. Moving on to costs. Origination and servicing expenses were 128.3 million, up 54.2%, driven by the increase in our loan origination volume, allowance for receivables, and contract assets reduced by 46.2% to 7 million, mainly as a result of the ongoing restructuring of the company's overseas business during the second quarter of 2022. Sales and marketing expenses were 235 million, up 34.9%, reflecting higher borrower acquisition expenses in this quarter. G&A expense was 42.6 million, up 21%, primarily driven by expenditures in compensation and the related benefits in the quarter. R&A expense was 54.1 million, up 69.6%. We recorded a higher employee compensation and benefit costs as well as increased fees for professional services in the quarter. Consequently, our net income more than doubled to 253.8 million from 126.8 million in the same period of last year. We ended this quarter with 213.9 million in cash and cash equivalents, compared with 170.3 million as of March 31, 2022. Moving to our guidance. We expect our loan origination volume in the third quarter of 2022 to be between RMB14 billion and RMB15 billion. In addition, we are revising our full-year 2022 loan origination guidance to RMB43 billion, up from the original RMB36 billion outlook we provided previously. With that, we can open the call for questions. Ms. Xu, our Chief Risk Officer and I will answer questions. Operator, please go ahead.
Operator:
Shawn Zhang: Thank you, operator, and thank you all for participating on today's call and thank you for your support. We appreciate your interest and look forward to reporting to you again next quarter on our progress.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please standby.